Operator: Greetings, and welcome to the W.W. Grainger Third Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Kyle Bland, Vice President of Investor Relations. Thank you. You may begin. 
Kyle Bland : Good morning. Welcome to Grainger's third quarter 2023 earnings call. With me are D.G. Macpherson, Chairman and CEO; and Dee Merriwether, Vice President and CFO.  As a reminder, some of our comments today may include forward-looking statements. Actual results may differ materially as a result of various risks and uncertainties, including those detailed in our SEC filings. Reconciliations of any non-GAAP financial measures with their corresponding GAAP measures are found in the tables at the end of this presentation and in our Q3 earnings release, both of which are available on our IR website.  This morning's call will focus on our third quarter 2023 results, which are consistent on both a reported and adjusted basis for all periods presented. We will also share results related to MonotaRO. Please remember that MonotaRO was a public company and follows Japanese GAAP, which differs from U.S. GAAP and is reported in our results 1 month in arrears. As a result, the numbers disclosed will differ somewhat from MonotaRO's public statements.  Now I'll turn it over to D.G. 
D.G. Macpherson : Thanks, Kyle. Good morning, and thank you for joining us. Today, I'll provide an overview of our third quarter performance and then pass it to Dee to walk through our results in detail. As I typically do, I'd like to start today's call with some reflections on how our Grainger Edge framework continues to drive our success. Unlike last year, our results in 2023 have not benefited from outsized macro tailwinds and we don't expect this to change for the remainder of the year as MRO market volume growth remained slightly negative. This means we must emphasize the value we bring through our customer experience and supply chain network to drive profitable share gain.  I've recently had the opportunity to spend time with several manufacturing and government customers in California. While the first on their operations, it was clear that our advantaged supply chain, strong digital capabilities and ability to solve complex problems adding value for these customers. All of this is helping us to continue to gain share.  Before we get into the results, I want to share a few examples of how our team members continually deliver our principles and improve the communities where we operate. Last month, our team members assembled more than 4,000 buckets to help natural disaster victims across the U.S. These buckets were strategically placed in regions vulnerable to hurricanes and flooding to ensure residents are prepared to quickly respond when a crisis hits.  And for the second year in a row, Grainger has been recognized as one of Fortune's Best Places to Work for Women. This recognition is based on team member responses to key questions based on trust, respect, credibility, fairness, pride and camaraderie. We know that when team members till heard and recognized, we unlock the full potential of our team and the full potential of our business.  Now let's dive into the quarter.  On Slide 5, you can see we had another strong quarter as demand stayed reasonably steady as we continue to provide strong service and deliver tangible value to our customers. We finished the quarter with sales growth of 6.7% or 8.7% on a daily constant currency basis. Results again were driven by positive performance in both segments, most notably within the High-Touch Solutions segment, where we continue to drive profitable share gain.  Total company operating margin was 15.9%, an increase of 60 basis points over the prior year, has improved gross margin performance driven by continued freight and supply chain efficiencies, along with favorable product mix, largely fell to the bottom line. Combine this with our strong top line performance, and we delivered another quarter of robust EPS growth, record operating cash flow and strong ROIC of over 44%. We also returned a total of $287 million to Grainger shareholders in the quarter through dividends and share repurchases.  In the High-Touch Solutions segment, we are advancing our 5 key growth engines as we continue to leverage our technology and data assets to unlock further value for customers. We remain focused on extending our service advantage and officially broke ground on our previously announced distribution center outside of Portland which we expect will help enhance our service performance in the Pacific Northwest. Within the Endless Assortment business, while we continue to see a softer demand environment, we remain focused on acquiring new customers and improving repeat purchase rates across the segment driving long-term profitable growth. Overall, 2023 is shaping up to be another great year as we follow the Grainger Edge, make progress on our strategy and drive value for customers. We remain on track to deliver over 20% earnings growth for shareholders.  And with that, I'll pass it to Dee to go through the details. 
Dee Merriwether: Thanks, D.G. On Slide 7, you can see the high-level results for the total company, including strong sales growth of 8.7% on a daily constant currency basis driven by growth across both segments. This is a relatively stable growth rate compared to the second quarter, even as price contribution declined as we wrap inflation pass in the prior year period.  Total company operating margin was up 60 basis points, primarily due to expanded gross margin in High-Touch, which more than offset lower EA gross margin and slight SG&A deleverage across the business. In total, we delivered diluted EPS for the quarter of $9.43, which was up over 14% versus the third quarter of 2022.  Moving on to segment level results. The High-Touch Solutions segment continues to perform well, with sales up 8.5% in daily constant currency underpinned by growth across all geographies. Volume accelerated sequentially and contributed 6 percentage points of growth, excluding price contribution for the first time in 5 quarters.  In the U.S., we continue to drive year-over-year growth in all customer in segments with government and transportation growing faster. Canadian daily sales were strong, up 9.1% in local days in local currency. For this segment, gross profit margin finished the quarter at 41.7%, up 110 basis points versus the prior year. We continue to benefit from improved product availability, which drove freight and supply chain efficiencies in the quarter.  Product mix also remained a tailwind, partially driven by an outsized number of project-related value-added services in the current year period, a level which we don't expect to repeat going forward. As expected, price/cost spread was negative as the timing favorability captured in 2022 continues to unwind. This price/cost trend will continue in the fourth quarter, and we anticipate finishing nearly neutral on a 2-year stack for the full year 2022 and 2023 combined.  At the operating line, we saw improvement of 70 basis points year-over-year as GP favorability was partially offset by continued marketing and headcount investments to drive long-term growth. SG&A leverage was further impacted by one less selling day in the current year period. Overall, it was another strong quarter for the High-Touch Solutions North American segment.  Looking at market outgrowth on Slide 9, we estimate that the U.S. MRO market grew between 2.5% and 3.5%, indicating that we achieved roughly 550 basis points of outgrowth for the High-Touch Solutions U.S. business in the quarter. Performance remains above our annual target to outgrow the market by 400 basis points to 500 basis points, driven by consistent execution across our 5 growth engines. We continue to remain confident in our ability to achieve our annual outlook target through any economic cycle.  Moving to our Endless Assortment segment. Sales increased 4.3% or 9.2% on a daily constant currency basis, which adjust for the impact of the depreciated Japanese yen. Zoro U.S. was up 1.2%, while MonotaRO achieved 12.6% growth in local days, local currency. At the business level, while we're seeing some signs of macro-related softness at MonotaRO, the business still drove strong growth with new and enterprise customers and remain focused on growing repeat business with its core B2B customer.  At Zoro results reflect a continuation of headwinds discussed last quarter with tough prior year comp decline was noncore B2C volume and a slowing macro environment all contributing to more muted top line growth. Noncore B2C customer performance was down nearly 20% year-over-year as we continue to focus our growth efforts on stickier B2B customers. Core B2B customer growth remains in the high single digits for the quarter and continues to reflect a slower macro for small businesses and in end markets where Zoro is more skewed. We expect these pressures to persist for at least the balance of the year.  From a profitability perspective, gross margin for the segment declined 20 basis points versus the prior year as MonotaRO favorability was offset by year-over-year declines at Zoro. MonotaRO results reflect continued freight efficiencies and strong price realization in the quarter while the Zoro decline was driven by negative product mix and the impact of unfavorable timing from prior year price increases. These gross margin headwinds coupled with the continued demand generation investments in softer Zoro top line drove a 70 basis point decline in operating margins for the segment.  On Slide 11, we continue to propel the Endless Assortment flywheel as we add new users and grow our SKU count. Total registered users were up 15% in total across the segment, and we continue to grow our assortment at Zoro having added roughly 600,000 SKUs in the quarter, pushing the portfolio total to over 12.8 million products offered.  Now looking forward to the rest of the year, you can see that we've narrowed our guidance ranges for the full year 2023. The new outlook includes total company daily sales growth between 8.5% and 9.5% and an EPS range between $36 and $36.60. These updated figures imply a Q4 daily sales growth between 4.5% and 8.5%, which includes 4% month-to-date growth in October, which is in line with our expectations and reflects a total comparison given hurricane-related sales in the prior year. This month-to-date growth is roughly 100 basis points higher in constant currency.  From a margin perspective, we are raising the lower end of our ranges and now expect operating margin for the full year to be between 15.6% and 15.7%, a record year for the total company. The new range implies fourth quarter operating margin will be lower sequentially as we anticipate product mix to normalize with fewer value-added service engagement and SG&A margin to delever in line with typical seasonality in the fourth quarter. Supplemental guidance covering cash flow and share repurchase expectations, which have also been increased can be found in the appendix of the presentation. All told, we're pleased to achieve full year results that includes the absorbed price for sales, profitability and cash flow further strengthening of our track record of delivering strong returns for Grainger shareholders.  With that, I'll turn it back to D.G. for closing remarks. 
D.G. Macpherson: Thanks, Dee. Before we close out, I wanted to quickly reflect on the tremendous progress that we've made over the years since our Investor Day last fall. As you may recall, we outlined an earnings framework that got us to some attractive 3-year targets that included us delivering strong top line growth, ramping to record operating margins and producing double-digit EPS growth through 2025. With the 2023 guidance you just outlined, even if you were to normalize for some of the onetime benefits elevating our margins this year, we are trending favorably towards the 2025 targets.  As we look beyond 2023, the core tenets of this earnings framework remain intact. We will continue to focus on maximizing earnings dollars generation by delivering strong top line growth, maintaining healthy gross margins, which we expect are going to stabilize after adjusting for the onetime benefits we realized in 2023 and gaining expense leverage by growing SG&A slower than sales. Executing against this framework positions us well to deliver attractive returns and consistently produce double-digit EPS growth for our shareholders.  With that, we will open up the line for questions. 
Operator: [Operator Instructions] And our first question comes from Ryan Merkel with William Blair. 
Ryan Merkel : Nice quarter. I wanted to start with a high-level question on gross margin, if I could. I think your guidance for gross margin '25 is 37% and you're a good bit above that here, 39% plus. Can you tell us why your gross margins are so much higher than the expectation you laid out at the Investor Day? 
Dee Merriwether: Ryan, this is Dee. Thanks for your question. Like, if you kind of go back in time and think about where we were about a year ago, we were in the midst of kind of coming out of the pandemic. Product availability was not exactly where we wanted it to be, even though our relative performance was pretty good. And we were expecting to get back in line with product availability much later in this year. That snapped forward really quickly in Q1, and it helped us significantly improve our margins. That's one piece.  The other piece I will point you to is we target price cost neutrality over time. And last year around that time, we expected cost to come in a lot sooner than what they did this year. We had passed price earlier last year in anticipation of that cost. Costs really are now flowing through GP as we expected. So a lot of things are timing related. We do -- we are performing better than what we had anticipated at that time, but really it's due to product availability, price/cost timing as we continue to focus on neutrality. And then we've continued to do very well as it relates to freight and supply chain efficiencies. That was also another timing element. 
Ryan Merkel : Got it. Okay. That's helpful. And then just a question on trends. Government looks like it's performing very well, transport, same thing, maybe just unpack what the drivers are there? And then can you put a fine point on the October, I think you mentioned 4% month-to-date growth, and that's down from September that's closer to 9%? Just what's going on there? 
D.G. Macpherson: Yes. So government, I think a lot of that. Government has been very strong across the board. We have won some new contracts that have come on board that have helped us this year. And so that has been certainly a tailwind. When we say transportation, I think, arguably, we mean aerospace there. Aerospace has been very, very strong. I think the aerospace companies can't build enough airplanes now. So we're benefiting from that. And I would say the market in general remains stable. There's puts and takes, but those two have been certainly on the plus side for us.  In terms of the 4% in growth that we've seen through October so far, there's a couple of things going on there. One is our market share gain, we think, is going to be pretty strong in October, but we did have Hurricane Ian basically generated a lot of startle and other sales last year for us. And so that compare makes the month look a little worse than it actually it is. The underlying volumes are actually still quite good. 
Dee Merriwether: And as it relates to the second part of your question, related to the October month-to-date top line growth at 4% and versus our implied for Q4 being in the range of 4.5% to 8.5%. I'll point you to one thing. This time last year, we did support sale-through of products for the recovery related to the Hurricane Ian. And so we are in a period where we're cycling a tougher comp but as the quarter moves on, comps will get easier. So we feel pretty good about the range that we've laid out for the quarter. 
Operator: Our next question comes from Tommy Moll with Stephens. 
Tommy Moll : D.G., you used the phrase reasonably steady to characterize the demand environment. So my question is, if you could unpack that a little bit or offer any helpful anecdotes, the revenue guidance or the range was -- midpoint rather moves slightly lower. I don't want to make a mountain out of a molehill, but is there anything behind that worth calling out? Or is it FX noise or something else? 
D.G. Macpherson: Well, I think the reality is the volume this year, the volume in the market has been near 0, pretty much all year. And so all of our volume share gain -- all volume pluses have been share gain, that will continue. I think the biggest difference is moving through the fourth quarter. We had price that happened last year that has been an increase in our revenue line for the first three quarters, but we lapped that going into the fourth quarter. So we don't really see any changes. There's nothing to be made up, but this is exactly how we predicted the year to play out and it's playing out pretty much exactly as we expected. So we are not at all concerned about the revenue line. It's exactly what we expected. 
Tommy Moll : Great. And then shifting back to gross margins and specifically around the High-Touch segment. I know 40% is still the official long-term anchor there, and it may be prudent to wait to revise that. But could you even walk us maybe qualitatively from the 41.7% that you just reported in 3Q to how that may progress for 4Q and even into early next year? 
Dee Merriwether: Sure. So you're right, it feels a little early for us to start resetting things. At this point, which I've kind of reiterated the last couple of quarters. But what I would say related to High-Touch and if you compare really Q3 to where we think we're going to go sequentially Q4, I will call out, like in my prepared remarks that we've mentioned our service-related or product mix. That happened as a benefit both in Q2 and in Q3. We don't expect that to continue into Q4. In addition to that, there are some other pieces like that fall into the price cost related to rebates last year. Both years we're doing very good in volume as D.G. noted, but again, volume was really strong last year, still very strong, and then that reset some of your rebates. And so that will kind of fall off a little bit and then price/cost will continue to unwind, Q3 to Q4. 
Operator: Our next question comes from Jacob Levinson with Melius Research. 
Jacob Levinson : Just touching on the margins. I know you talked about some favorable items you have this year, and you're certainly trending well above those 2025 targets that you laid out, but D.G. or Dee, for that manner, maybe you can just give us a sense of how you're thinking about operating leverage in the business going forward because it -- I would think at least that the growth is there that you're probably not going to see margins contracting meaningfully, even if mix was a little bit worse or price/cost is a little bit worse? 
D.G. Macpherson: Yes. I mean -- so what I would say is that the adjustments that -- once you take out the adjustments that you talked about, we believe that the High-Touch model will be relatively stable moving forward. And we are trending favorable to kind of targets as we talked about. The earnings model is share gain and stable gross margins and grow SG&A slower than sales, that formula is not going to change, and we expect to be able to continue to do that moving forward. 
Jacob Levinson : Okay. That's helpful. And just switching gears, I think your balance sheet is probably the least levered maybe since you took over D.G., is that reflecting some conservatism on the macro? Or is there appetite for more aggressive share buybacks or special dividend or otherwise returning more cash to shareholders? 
Dee Merriwether: You are correct. We are very fortunate to have a strong balance sheet. And at the time, based upon our cash flow generation, we don't see a significant need to further lever the business, use the word conservatism. You can use that word. But we don't see a big need right now for that. Now based upon our cash flow generation, our access to capital, if there ever becomes a need for that, we feel like we are well positioned to go into the capital markets to help us with anything. But right now, based upon our operating cash flow and conversion, we feel like we're in a good place with leverage. 
Operator: Your next question comes from Christopher Glynn with Oppenheimer. 
Christopher Glynn : I was curious on HTS price/cost dynamics, a couple of components. What was price in the quarter? And then is it holding well in the baseline? Looking fine on market competitive pricing to expect neutral price/cost margin impact in '24 like the algorithm? 
Dee Merriwether: So just to answer your first question, price/cost for High-Touch was 2.5% in the quarter. And again, we take a longer-term view of price competitiveness, remaining price competitive. And due to the lumpiness of all of the components of price and costs that impact the business, if you look at a 2-year stack, we expect to be close to neutral if you accrue '22 and '23. I would say that would be looking ahead, we would not change that position. We are targeting price cost neutrality over time. When we get to early next year and set the 2024 guide, we'll talk in more detail about 2024. 
D.G. Macpherson: The only thing I'd add to that is that we are not seeing a lot of product cost pressure relative to what we've seen in the last few years. As you might expect, there's been a lot of puts and takes, but generally, we're not expecting a lot of product cost inflation heading into the new year. True. 
Christopher Glynn : Okay. And then on Zoro and MonotaRO, just curious how you're thinking about path back to the kind of 16% to 18% long-term top line targets? 
D.G. Macpherson: Yes. So what I'd say is Zoro grew -- I'm sorry, MonotaRO grew to about 13% in the quarter. The Japanese market has not been strong. We've been dealing with some inflation for the first time really, in anybody's memory there. I have a lot of confidence that the team is going to be on the right track to continue to deliver strong growth, whether that's approaching 20 like they've done over the last 20 years or something less than that is probably debatable. But there's absolutely no concerns about the performance of that business.  In Zoro, we've seen some competitors to Zoro actually go negative in the last couple of quarters in terms of revenue. And so that has had an impact. The market certainly has had an impact on Zoro. I think you talked about it. The core B2B sales were up high single digits at this point, which is not where we want to be, but not horrible. There's a lot of other factors going on, particularly consumer business that's falling off, and we want that to fall off. But there's a lot of things we're working on that business to continue to get more repeat business out of customers, and we need to get better and better at that, and the team is working to do that. And that will be the real key to us being successful with growth long term as well. 
Operator: Our next question comes from David Manthey with Baird. 
David Manthey : My question was along the same lines on Zoro. So I guess I'll try to refine it a bit here. D.G., what you just said in terms of the trends, it sounds like the -- what you're seeing there right now is primarily cyclical in nature. You're not concerned about the strategy there. But then you also said that you are implementing strategic moves to grow that business. Could you just outline a couple of those for us, so we know what the drivers are? 
D.G. Macpherson: Yes. So what I would say is there's two pieces to growth to Zoro. One is that this a very simplified, but one is acquiring customers, Zoro has always been really good at acquiring customers. They've been a good customer acquisition engine. The other is developing repeat business for those customers, so you become the place of choice to shop. We've had some success with that. We have a lot of long-term customers. We need to get better at that piece. So most of what we're talking about doing is how to make alterations, it's not really a strategy change, but we're testing a bunch of things to figure out how to improve that part of the business. And that will be the big area of focus going forward. 
David Manthey : Got it. Okay. And then on the High-Touch side, product and customer information tools have really been a key driver of the outperformance there. Can you update us -- I don't know if you have statistics on the Salesforce's use of those tools or if you've added any new capabilities lately to those applications? 
D.G. Macpherson: Yes. I mean I think that -- let's start with -- as you know, we are building some of our own software for the first time in a long time and customer information and product information were early in the cycle. Product information, in particular, with a core publishing system that we've developed to help the website, help customer positivity on our website, and this helped really drive a lot of growth through both marketing and merchandising.  The customer information system is supporting marketing efforts. It's also supporting seller coverage, which we have been adding sellers and that help us understand where we can add and become more refined in that. So both of those have been a big driver of growth and will continue to be so going forward. And I think that we still have a long ways to go, particularly customer information to leverage it for all of our sales team and all of our marketing activities, but we continue to get better in those areas. 
Operator: Our next question comes from Nigel Coe with Wolfe Research. 
Nigel Coe : So looking at this -- the fourth quarter margin, Dee, you called out, I think, 50 basis points or thereabouts of sequential margin kind of versus third quarter. Is that math correct, first of all? And then how does that shake out between High-Touch and Endless Assortment? And then I've got a follow-on on the Zoro gross margins as well. 
Dee Merriwether: Yes. So you're talking about a sequential change from Q3 to…? 
Nigel Coe : Yes, 3Q to 4Q gross margin. 
Dee Merriwether: Yes. So total company is about 60 bps. And again, I think -- I know that the pieces are the same. And so the favorability that we saw in Q2 and Q3 related to some services, project related revenue, which is accretive to the business. At a total company level, that's about 40 bps and as High-Touch, that's about 60 bps. And then the other piece I called out, which is really related to some smaller headwinds related to price/cost and some -- that flows through rebates, that's about another 20 basis point total company and round up to close to that on the High-Touch level as well. 
Nigel Coe : Okay. And then just to calibrate the comments about price/cost normalization. We're no longer looking at 40% gross margin High-Touch, you're thinking you maintain a higher plateau than that? 
Dee Merriwether: What we've said and what D.G. set out reiterate that is we've had some onetime benefits if you look at this year. Earlier in the year, we had a freight accrual-related benefit. We had a supplier rebate benefit that we won't see going forward. And then this product mix, which is related to supplier related services -- not supplier, services-related project benefit. When you pull all that together, that's like a 40 basis point headwind year-over-year that we would expect. But outside of those things, we feel like we will be able to maintain relatively stable gross margins. 
Nigel Coe : Okay. That's helpful. And then just a quick one on the Zoro gross margins because as you burn off B2C focus on B2B, I thought B2B gross margins would have been higher than B2C. So therefore, you actually get a gross margin mix up. So just wanted to understand that dynamic. 
D.G. Macpherson: In Zoro, that's not the way it works. It's basically one price and spot discounts in some cases. But we don't have differentiated pricing for business to consumers. 
Operator: Our next question comes from Steve Volkmann with Jefferies. 
Stephen Volkmann : I wanted to go back to something you said, D.G. I think you said you didn't expect any cost increases or pressures in '24. I'm not sure exactly how you put that. But are we thinking that cost and price are sort of flat in '24? 
D.G. Macpherson: Well, we haven't really talked about that yet. But we do know that we're not seeing as much product cost pressure as we've seen in the last two years. And there are certain categories where costs will be down that are commodity related and certainly will be up. But generally, we're not seeing a lot of cost pressure. We'll talk about price cost and the actual numbers at the end of the year for next year. 
Stephen Volkmann : Okay. Fair enough. And in your long-term algo you talked about leveraging on SG&A, but we didn't actually do that this quarter. I guess we're making some investments. Do those continue for a number of quarters? Or how do we think about the sort of trajectory there? 
D.G. Macpherson: Yes. I mean we're going to continue to invest in the business, but we do believe that we will have consistent over -- in any quarter, you may not see it, but over time, we will have SG&A leverage as we continue to find ways to improve our cost position for us to investing into this. 
Operator: Our next question comes from Chris Dankert with Loop Capital Markets. 
Chris Dankert : I hate to keep harping on Zoro here, but I'm curious, again, you talked about a couple of different initiatives. But I mean, is there a friction in that system that we need to pull out? Or kind of what can you really get that customer acquisition up? Given SKU count has been moving up and doing well, what else kind of has to happen to the system perhaps on a more holistic basis? 
D.G. Macpherson: Yes, I would reiterate that I think on the customer acquisition piece, which the product breadth really does help, we've actually done quite well. And it's after that, where we're trying to get customers to become repeat customers where we've done well in some cases, but we need to improve that part of the model. And again, not to oversimplify that you use the product breadth to get new customers in, and then you have to become intimate with these customers in some way to get them to repeat buy, and that's really what we're focused on doing. 
Chris Dankert : Got it. And just as far as like benchmarking, given the greater cyclicality in that business, how should we be thinking about growth there beyond just this year and some of the challenges we've seen? 
D.G. Macpherson: Yes. I mean we still think that it's going to be a real strong growth driver for the company. We're going to -- like I said, we're running some tests here in the fourth quarter. We're going to learn more, and we'll continue to communicate with you what we think the go-forward growth is as we move forward. 
Operator: And our next question comes from Deane Dray with RBC Capital Markets. 
Deane Dray : Question on destocking because it's -- I'm not sure it's an issue for you. Certainly not -- it's not coming up on the call here and in your remarks. Any issues with customer destocking, maybe they're lightening up on some of their working capitals, lead times on products and just all sort of the post-COVID normalization. Is that at all impacting your volumes? 
D.G. Macpherson: No. That really never comes up in customer visits. I was out in Northern California last week. And I would say for our types of products, customers just generally don't ever have like overstock of our inventory, they're buying when they need it. And frankly, a lot of our value proposition is helping them not have too much. So we really pride ourselves in making sure that customers have what they need to keep the business running, and that's really all they have. 
Deane Dray : Good. All right. That's -- I like hearing that. And then maybe I'm just more aware of it now, but is there a bigger push on brand building, both in advertising, TV and radio because I'm certainly hearing it a lot more. And how do you measure the returns on that I'm certainly -- it helps on brand building. It helps some of your outgrowth, but do you have any other precision around that? 
D.G. Macpherson: Yes. Certainly, we've talked about it before, marketing has been a big part of what's helping us gain share. In terms of media advertising, we generally measure returns based on A/B tests where we test in certain markets and understand what the actual pull-through is from those. And so we -- I would say our marketing area is probably the -- as well in measured areas you could possibly imagine. So we can tell you with a lot of precision what's working and what's not, and that helps us figure out what to do. 
Operator: And our next question comes from Chris Snyder from UBS. 
Chris Snyder : I wanted to ask on the project-related value-added services. I guess first, just to confirm, it sounds like that was a 60 basis point boost to high such gross margin in Q3? And then I guess kind of just higher level, can you just talk a little bit about what are these project-related value-added services that the company is providing? And what makes them 1 time or transitory in nature? 
Dee Merriwether: So thanks for the questions. So -- we go to market with our customers to help them solve problems, and those problems are solved with a combination of products, as you know, but also services. We have over 400 what we classify as value-added service providers that help us solve those customers' problems. And this is an ongoing revenue stream for us. However, what we have attempted to call out in this quarter and then also it impacted us in Q2 is that we had a larger number of projects in the services area that we do not believe will repeat. Some of those projects include things that are more steady state for us that we have been working with our customers on over the longer period of time are things like lighting retrofits, roofing projects, safety certifications to help them ensure that they are investing in the right products as well as capabilities to ensure that they can pass safety audits, et cetera. 
Chris Snyder : And then was that right? Or did you say earlier, it was a 60 basis point boost in Q3 to the High-Touch gross margin? 
Dee Merriwether: Yes, that is correct. 
Chris Snyder : Okay. Thank you. And then maybe staying on the topic of services. D.G., in your opening remarks, you talked a lot about the value-added services that Grainger is bringing to the table. I guess as we think about those going forward, do you view those services as a way for you guys to continue to drive price even in a cost environment or purchase environment as called out going sideways? Or do you view those more as just -- well, that's why we can outgrow the market by mid-single digits on a volume basis? 
D.G. Macpherson: Yes. So I'd probably frame that a little bit differently. So we are first and foremost a product company. We did two things for almost every customer. We help them simplify their purchasing process. We try to make it really easy for them to buy, receive, pay, return if they need to, the products we have, and then we help customers manage inventory. And so for almost all customers that are of any size, we're doing those two things, and those are not actually in the realm of what you would call value-added services, I should just described.  Then there are a whole bunch of value-added things that we provide to our customers often through our supplier partnerships that are service related. They are a minority of our business, but they are important when customers want them. So if the customer wants to do safety audit. It's really important that we can help them understand what challenges they have and help them get better at safety and so we provide that service to our partners. And we will continue to do those things. But generally, I think the thing that's different this quarter is there was, in particular, a couple of very large projects that probably are not likely to repeat, that were driven by things that typically don't happen and so we just wanted to call those out. But our fundamental business model and how we add value to customers is really around helping them get the products they need to keep their operations running, make sure they have the right inventory. 
Operator: And our next question comes from Patrick Baumann with JPMorgan. 
Patrick Baumann : A lot of numbers like flying around on the gross margin side. So I just want to clarify, the 40 basis points, Dee, that you mentioned of gross margin, on an annual basis? 
Dee Merriwether: Yes. When I was calling out... 
Patrick Baumann : Is it '23? 
Dee Merriwether: Yes, that is if you are looking to normalize '23 and are thinking about gross margins on a go-forward basis, that's the 40 basis points. 
Patrick Baumann : Right. Right. So all else equal, that's -- so if everything else is 40 basis points comes out of your '23 number as kind of like a baseline? 
Dee Merriwether: Correct. 
Patrick Baumann : And that's for next year. Okay. And then the follow-up is it sounds like maybe 2024 is a more normal year for pricing based on your comments that there is a lot of product cost pressure. Assuming that's the case, and with the gross margin coming down a bit. Do you see SG&A inflation slowing off to be able to deliver a bottom line margin expansion? It looks like your fourth quarter guide there was flat year-over-year, but I think maybe there was some onetime benefit in SG&A last year that were onetime cost, I think, in SG&A last year that inflated the prior year results. Just curious if you could give any color on that. 
Dee Merriwether: Yes. So I think when you look at our results quarter-over-quarter, there are some timing things that happen. We continue to invest in demand generation to help us ensure that we can drive specifically in the U.S. long-term market outgrowth. When you look at prior year quarter, we had a number of things happen. I think you recall, in Q4, we had a LIFO benefit last year that we will all be cycling. But just zooming out a little bit, if you go back to our framework, over time, we want to outgrow the market in the U.S. by 400 to 500 basis points.  D.G. talked a little bit about the fact that we are -- while we are looking to invest in long-term growth, we also look to gain leverage. And if you really looked into how we're doing that, most of our SG&A investments are really targeted towards high-return demand-generating investments. And a lot of the SG&A productivity are leverage. We are gaining in our noncore SG&A expenses and we accomplished that through really continuous improvement. So we're really targeting things that help us with achieving an improved customer experience, but also assist us with operating more efficiently and effectively. Our intent is to continue to invest in demand gen but also look to offset as much of that as we can -- reasonably can do through continuous improvement activities. If you look at that algorithm that we laid out for Investor Day, it talks about driving double-digit EPS growth over the cycle. And so we still expect to do that. 
Operator: There are no further questions at this time. I'll hand the floor back to D.G. Macpherson for closing remarks. 
D.G. Macpherson: All right. Thanks, everyone. We recognize that today is a very busy day for all of you in terms of the number of people that are releasing results, and I appreciate you spending time with us.  Yes, I would just reiterate that we feel really good about the way the year has played out. It's played out pretty similar to what we expected. We continue to invest in the business to drive profitable share gain. That is our primary focus, and we continue to invest not only that, but in our team and in making sure that our customers are successful. So appreciate you joining us. I hope you have a great day. Thank you. 
Operator: Thank you. This concludes today's conference. All participants may disconnect.